Operator:
Mark FitzPatrick: Good morning, and welcome to our 2024 Half Year results. We have a packed agenda this morning with a lot of ground to cover in explaining how we're performing well and are positioning for further success in the years ahead. In a moment I’ll set out a high level summary of the first half. I’ll then hand over to Craig to take you through the operating and financial results for the period. Craig will also provide an update on our existing programs of work around our simpler and more comparable future charging structure and historic ongoing service evidence review. Finally I’ll discuss the business review and what we've completed and what this means for our future direction. Before we start though, I would like to take the opportunity to thank Craig who will be retiring as CFO later this year. It's been an absolute pleasure to work alongside him since I joined the business and I’ve been grateful for his support throughout. We all wish him well for the future. While Craig will be missed, I look forward to working with his successor, Caroline Waddington, who will join the business in September. Looking back to February this year, I talked about my initial perspectives and I also set out that one of my priorities was to continue to get deep into the fabric of SJP. Having immersed myself in this business and in recent months worked through the process of our business review, I’m pleased to say that my conviction in SJP has only grown stronger. SJP is positioning for further success and I’m really excited for the future. At a high level, we're the scale market leader in an industry that has embedded structural growth across all market segments. We have a distinct business model which will enable us to capitalize on the significant market opportunity leading to sustained growth in our funds under management. This means we will continue to deliver great outcomes for all our stakeholders including strong and highly visible earnings growth and improving returns for shareholders. So, onto business performance in the first half. 2024 has presented a mixed environment for UK consumers. On one hand we've seen headline inflation falling and most economists predict that we're getting closer to an easing in interest rates. This has improved consumer confidence albeit from a low base. On the other hand, the UK economy is not yet firing on all cylinders and mortgage costs continue to rise for many households impacting disposable income. It takes time for the full force of inflationary pressure to be felt. And with many households still on fixed rate mortgage deals from before the recent rise in interest rates, this will remain a feature for some time. Therefore while it has naturally been encouraging to see signs of improvement in market conditions, it's too early to draw firm conclusions on the shape of things to come. Against this backdrop, we are very pleased with our business and financial performance for the first half of the year. Operationally it's been a very busy period for us. We've completed our business review which I’ll come on to in the final section of this presentation. We've made progress on our key programs of work to implement our simpler and more comparable charging structure which comes into effect in the second half of 2025 and our historic ongoing service evidence review and Craig will provide more detail on these shortly. We've improved our constructive dialogue with the FCA as we ensure they understand the progress we are making with our key programs of work and we all have a clear understanding of their expectations for the wider industry and we've successfully launched our national brand campaign. From a financial perspective, we've performed strongly. Our funds under management reached a record of £181.9 billion at the end of June. This was a result of the continued scale of client investment flows which improved as the first half unfolded and the continued strong retention of client investments and a positive period for client investment returns. This highlights the resilience of our model, the underlying strength of the relationships our advisers have with clients, the quality of the advice given, and the long-term nature of our client proposition. Our underlying post-tax cash result was £205 million which is in line with the prior year and demonstrates a business in good health and one where our clients continue to recognize the value of quality advice in an increasingly complex world. So there's been a lot going on but we're in good shape and are well set for the rest of the year. Let me hand over to Craig now to talk through the detail of the first half before I come back to discuss the business review and what it means for SJP.
Craig Gentle: Thanks, Mark, and good morning everyone. As Mark has said, this is my last results presentation as CFO and I’m pleased to be signing off with a strong set of financials. So let's start by analyzing some of the detail beneath our flows performance in the first half. Against the market backdrop that Mark has outlined, our gross inflows were £8.5 billion for the first half which is 6% higher than for the same period in ’23. Having reported a 5% reduction for Q1, this reflects an increase of 18% for Q2, representing our first comparative quarter growth since 2021. Whilst it wouldn't be right to draw conclusions from one quarter of experience, we're encouraged by these early signs of improvements. This growth has been led by our pensions business, which has increased by 14% in the first half, outweighing the impact of modest declines in our investment in unit trust wrappers, which tend to be more sensitive to client confidence and capacity to invest. We know that many clients continue to feel cost of living pressures, including the impact of high mortgage rates, and this has contributed to lower average case sizes. At the same time, however, we've seen case volumes continue to rise, reflecting high levels of engagement between our growing numbers of clients and advisers. Turning to outflows, these remain at an elevated level, and cost of living pressures have again undoubtedly contributed to this, with clients drawing upon savings in order to meet immediate needs. We are, however, encouraged that the flow rate appears to have stabilized in the second quarter, breaking the trend of gradual increases that we saw throughout ’23 and into the first quarter of ’24. As a result of improving gross inflows and stabilizing outflows, we've generated £1.9 billion of net inflows in the first half, once again demonstrating the resilience and strength of our advice-led business model and continuing our long track record of consistent net inflows. We're very pleased that we've been able to deliver strong investment returns for clients in the first half, and this, together with net inflows, has resulted in FUM increasing by 8% to a record £181.9 billion, with average FUM over the first half some 14% higher compared to the same period in the previous year. Over the last year, we've made some important decisions that have resulted in significant programs of work that I’ll touch upon now. Firstly, we announced that we're implementing a simpler and more comparable charging structure across our entire value chain. This program has completed its planning and mobilization phase and is now well into execution and delivery. Our expectation remains to implement the new structure in the second half of ’25, with a total implementation cost of between £140 million and £160 million before tax, in line with guidance we gave in October last year and reiterated in February this year. In February, we announced that we'd be undertaking a review linked to the historic evidencing and delivery of ongoing servicing, and we established a provision of £426 million before tax to provide for potential client refunds together with the administrative costs of getting the job done. The project started in March, and since then, we've built the foundations of what we need in order to deliver this program effectively. We therefore put in place the right team, the right systems, and the right processes that will enable us to move with pace during the second half and into 2025. We expect to make significant progress with client contact in the second half and start making payments where appropriate. You'll recall that the provision we made was based on an extrapolation from statistically meaningful data gathered at the start of the year with an estimate of administration costs that I’ve mentioned. We remain confident that the provision is an appropriate estimate of the ultimate cost, and as such, there will be no changes to the provision other than for the IFRS discounting. Finally, I should take this opportunity to remind you that we've not yet taken any credit for amounts that we will recover from the Partnership. We have, however, now communicated the circumstances under which we expect to recover, and once we're able to reliably quantify the recovery, we'll take credit for it in the accounts. Moving on to the overall financial results themselves, I’m pleased to report a stronger term for the first half of 2024 across each of our key measures. I’ll take you through our cash result and our solvency position in a moment and then touch on shareholder returns. I’m not going to cover IFRS and EEV, but information about these metrics can be found in the appendix to the slide deck for those of you who are interested. So looking at the underlying post-tax cash results, this has decreased by just 1% compared to the same period in ’23, despite the significant additional short-term investment that we're making to implement our simplified charging structure. Indeed, if these costs were excluded, then the underlying cash result would have increased by 11%, representing a very strong outcome given the operating environment. It's also worth flagging that this increase comes despite the impact of the charge cap we introduced in the second half of ’23 for long-duration bond and pensions, as well as the headwind of a high rate of corporation tax. With a further £49.5 billion of funds in gestation that will begin to contribute to the cash result over the next six years, we're well set up for highly visible future growth in net income. Moving on to our financial position, the solvency ratio for our life companies stood at 164% at the end of the period, which is significantly ahead of our approach of holding 130% of the standard formula requirement. This financial strength is also reflected in our credit ratings. Meanwhile, our partner lending book remains in good health. This lending activity is an important part of the business model, allowing growing partner businesses to take on those of retiring or downsizing partners, supported by loans that are facilitated by SJP. As well as being a key part of our adviser offering, this also ensures continuity of service for clients, enabling us to benefit from exceptionally high retention rates. The loans that we make are subject to prudent affordability criteria, and they're secured against the value of ongoing partner income that emerges on our systems. This means that repayments are deducted at source. Whilst the higher interest rates that we've experienced of late have been inherently unwelcome for all businesses that borrow, the fact that market values have been strong has been a welcome benefit in terms of cash flow. Finally, I’ll comment on shareholder returns. We announced in February that we'd be revising our approach, with the expectation that total annual returns will be set at 50% of the full year underlying cash result. And for the next three years, this will comprise £0.18 per share in annual dividends declared, with the balance distributed through share buybacks. In line with this revised approach, the board has declared an interim dividend of £0.06 per share, equivalent to a third of the full year total. In addition to this, the board has approved an interim share buyback of £32.9 million, matching the cost of the interim dividend and representing some 1% of the current market capitalization. So that's all from me, all in all, a very encouraging set of financial results. Now back to Mark, who's going to cover the outcomes of our business review. [Video Presentation]
Mark FitzPatrick: Thank you, Craig, for walking us through a strong financial outcome for the first half. Now onto the business review. We began this work earlier this year, with the aim of taking a step back to assess the development of our marketplace, hold a mirror up to our business, and ensuring we’ve got a clear path forward so that we drive great outcomes for our clients and all our stakeholders. Ultimately, this work has reinforced our conviction that SJP continues to be a very strong business with a fantastic opportunity ahead. As I mentioned at the start of this presentation, we’re positioning for further success. However, achieving this won’t happen by accident, so let me talk you through the review and what this means for how we plan to take the business forward. I’ll start by giving an overview of our market, and how we expect it to develop in the years ahead. I’ll then talk through our strengths, which came through clearly in the review. Finally I’ll take you through our future priorities and focus for the business. So, firstly, our market. We’ve done a lot of work assessing our market to consider not just what it looks like today, but how it might develop in the years ahead. What’s evident is that the market opportunity is compelling. At a high level, UK individuals today have around £3.3 trillion in liquid investable assets spread across the broad spectrum of client segments. But what’s exciting is that the marketplace is expected to grow further into the future, at around 7% per annum compound over the next seven years, driven by a combination of structural and cyclical factors including asset appreciation and growing provision for retirement. Now naturally, some segments are expected to grow more quickly than others with growth most rapid at the upper end of the wealth market. The UK wealth management market today is served by a range of different types of providers, from banks to pension providers to D2C platforms. Where we choose to operate is the advised part of the market where clients want and need the support of a trusted financial adviser. While our marketplace has experienced significant change in the regulatory landscape, it’s important to recognize that there continues to be strong support amongst politicians, policymakers and regulators for a healthy UK financial advice industry. Recent research demonstrates that many people in the UK are not saving enough for retirement, and that retirees are running out of money. A recent report states that 38% of people are on track for living standards in retirement that are below the minimum level set out by the Pensions and Lifetime Savings Association. This is up from 35% in 2023, showing the problem is getting worse. Financial advice has a critical role to play in closing this savings gap. Financial advice supports financial wellbeing, peace of mind and can help turn people in the UK from savers to investors. This is critical given the long-term outperformance of risk-based investing compared to cash and savings rates. Within that fully advised landscape we are the most significant operator. With our FUM representing around 9% of this £2.1 trillion marketplace, its clear there remains significant opportunities for us to grow further. There are nearly 4 million mass affluent individuals who are open to advice but are not yet receiving it. Their wealth is not captured within the fully advised market today. We think there is also scope to take share within the fully advised market. This includes at the upper end where we know many individuals can feel underserved by organizations that are moving further and further up the wealth spectrum. Those drivers of demand are not going away. If anything, they’re growing stronger. I will call out three factors which are strengthening the drivers of demand for advice. Individuals feel overwhelmed by, one, the range of investment products available to them; two, the plethora of information available via the press, the internet and through social media channels, some of which is misleading and unregulated; and three, the complexity of the pension rules and frequency with which they change, making it difficult to make the right decision. As a result, we expect the fully advised market to grow significantly as investable wealth moves from unadvised solutions to the advised space, providing even greater opportunity for SJP. That’s a great backdrop for a scale, long-term and high conviction business like ours. We’re already well positioned to capture that opportunity and grow our funds under management, because we have a number of key strengths which came through clearly in the business review. We have the right business model. It’s a model that reflects our belief that we drive the best outcomes for our clients by providing them with a full end-to-end service, from financial advice and planning through to platform and administration, and investment management. This approach has helped us attract and retain clients over time, and we’re confident that maintaining our commitment to providing a full service proposition will drive continued success. So let me be clear that while we’re unbundling our charges next year, we’re not unbundling our proposition. We have the Partnership, a scale and high quality group of financial advice professionals who lead our award-winning proposition and who make a real difference to clients’ lives. Partners run their businesses, tailoring them to the local communities in which they operate, meaning we have a local presence throughout the UK. In fact, if you were to consider each of our partner practices a branch, we have a greater presence across the UK’s villages, towns and cities than the five largest UK high street banks combined. In a market where building trusted personal relationships is key, this scale and proximity to our client base is critical, driving satisfaction, retention and advocacy. Now, we provide extensive support to the Partnership, from learning and development, business advice, market leading technical support, through to our backing for effective adviser succession planning. All of this support helps our advisers look after clients well and run high quality businesses, underpinning growth and retention of client funds under management. We have the Academy, the largest and most comprehensive financial adviser training and development scheme in the UK marketplace. Over the last five years, our Academy has trained around half of those advisers who have joined the financial advice industry. It complements our experienced recruitment pipeline, providing us with a rich seam of adviser talent, supporting our capacity to serve more clients over time as well as attract younger clients to our business. The Academy is also critical to underpinning long-term partner succession planning and continuity for clients and it keeps the average age of our Partnership some 10 years younger than the wider marketplace. That’s a decade of additional longevity embedded in our model. We’ve got a distinct investment management approach that works well for clients, offering scalable solutions to deliver good outcomes. It encompasses two key components, our market-leading asset allocation, and our select/monitor/change process. Our asset allocation process leverages our unrivalled access to the leading asset managers from across the world, and makes use of our own investment team's expertise to manage our proposition from the top-down. The team considers a broad range of factors, including extreme valuations, financial market fundamentals, the economic environment, risk and many, many more. Through rigorous research and debate, this process forms the SJP house view and drives the construction of our portfolios, blending active, passive and systematic strategies. Our approach has enabled us to build, maintain and develop the investment solutions that our clients need. ‘Select, monitor, change, is the way we build our IMA from the bottom-up. We select world-class external managers to manage our funds, accessing diverse investment styles to ensure our funds are positioned to deliver strong investment performance. We continually monitor our managers to ensure they’re achieving the funds’ objectives. A significant benefit of our approach is that it provides us with the opportunity to flexibly change fund managers. As you can see from the slide, our portfolios have each performed well over the past year and we’re confident that our IMA works for clients. Our core technology foundations are in place. Built through our previous investment into Bluedoor and Salesforce, and we have no need to re-platform our business. In recent years we have made steps forward with our digital experience, including launching our app, but to deliver the leading client and adviser experience of the future at scale we recognize there is more to do. We must invest to supplement our strong core and develop adjacent technologies to drive strong client outcomes and a superior experience at scale. We have a rich data universe available to us, but we are not yet fully leveraging it to drive intelligent insights and we plan to build our capabilities in this area. Action in this area, together with a clear opportunity to invest in adjacent technologies is an important need coming out of our business review. These strengths that I’ve covered have resulted in incredible success over three decades and more. We’ve achieved compound growth in our client base of around 8% per year since 2015, which means we have around 1 million clients, double what we had back then. That’s a million clients being helped by a trusted adviser to make better decisions around their finances, a million clients with the confidence to invest for the future, a million clients on the way to achieving financial wellbeing. This helps explain our ability to not just attract new client investments to SJP, but to retain them too. Our high long-term retention rate means we’ve always achieved annual net inflows, underpinning our strong growth in funds under management, and because we’ve grown funds under management over time, we’ve also delivered strong growth in the cash result. Our business model has clearly worked very well in the past. It’s working well today, and I’m confident it will continue to do so in the future. Yet it’s clear we need to evolve. We need to tailor our proposition to clients and advisers. We also need to work smarter to capture economies of scale as we grow. This will ensure we remain the home of financial advice in years to come, better equipped to capture the market opportunity ahead, and positioned for further success. Having covered our market and our strengths which have got us to where we are today, I am now going to move on to our future priorities and focus. As I said earlier, the business review has helped us to define a clear path forward so we can drive great outcomes for our clients and all our stakeholders. This has led to our refreshed strategy, which is presented on this slide. It is underpinned by our redefined purpose, which is, to empower clients with invaluable advice to realize bolder ambitions. Now a defining feature of the SJP community is its client focus, along with our collective, unwavering belief in the value of advice, and so our redefined purpose articulates what drives all of us. Sitting underneath our purpose, going forwards our refreshed strategy will be based around four pillars: brilliant basics; differentiated client proposition; leading adviser offering; and, performance focused organization. I will explain what we mean by each of these shortly, but first I will explain the two different phases that our strategy is split into. We know that for all our qualities as a business, we have a lot of work to do ahead of us over the next 24 months. We need to deliver our simpler and more comparable charging structure, refund those clients where ongoing servicing has not been evidenced historically and we need to optimize our cost base. I characterize this initial phase as strengthening our fundamentals for the future. Meanwhile, we will also start to invest in initiatives that will help SJP to drive sustained growth over time. This investment activity begins in 2025 once we begin realizing savings, but much of the investment will be weighted from 2026 once we have neared completion of our Strengthen phase, and are approaching the Amplify phase. Coming back to the four pillars of our strategy, the first of which is brilliant basics. To deliver for our stakeholders and maintain our leadership position, it’s imperative that we don’t just do the basics, but we do them brilliantly. This encompasses a range of initiatives that we will undertake over time to improve how we operate and deliver for clients and advisers, but to bring this to life I’ll focus on three initial priority areas. First, we have grown the business and Partnership at pace for many years. In doing so, we have accommodated multiple ways of working. And when you’re working at scale this can result in inefficiencies that can impact productivity and operational effectiveness across the SJP community. Going forward, we will standardize and simplify our processes, removing unnecessary options and complexity and from speaking to advisers, I know this is a direction of travel they support. Second, because we’re a scale business with a strong technology core, we have, as I’ve indicated, a real opportunity to better leverage our rich data universe and drive benefits in a number of areas. Our data capability is not where we want it to be yet, so we’re going to be investing to strengthen it, both in terms of human expertise and in terms of systems and analytics, so that we improve the quality and consistency of data and enhance our ability to process that data to drive intelligent insights. The third area is that we will continue to be a driving voice for our industry, leading the conversation in UK wealth management. We will be passionate advocates for financial advice and we will promote what we and our industry peers bring to so many clients across the UK. We’ve made brilliant progress in increasing awareness of our brand through our national advertising campaign, but what’s really important to me is that we promote the value of what we and all our industry deliver, the value of advice. As more people understand the value of advice the more the advised wealth market will grow, which is positive for the industry and the UK economy as a whole. So much of the conversation in wealth management centers around cost. Now I’m really clear this is important and it matters to clients, but there isn’t enough discussion around the benefits of financial advice. As well as measurable financial benefits, advice also provides reassurance of knowing that your savings are working hard for you and that your loved ones are being well provided for and their wellbeing and your wellbeing and your confidence for the future grows and is stronger. All of this is what we call invaluable advice. We know our clients recognize this, but we will use our industry leadership to make sure this is better understood by the media, policymakers and regulators, so that more people take advice. Specifically, we’ll work closely with the UK Government and the FCA to help them close the savings and advice gaps, and on the opportunities presented within the Advice Guidance Boundary Review. I’ll now move on to the second pillar of our strategy, our differentiated client proposition. We plan to invest in broadening our investment shelf, so we can offer clients a greater range of investment options and exposure to a broader range of asset classes. This is about giving clients choice, diversification and packaged solutions that support the delivery of positive long-term outcomes. In the short to medium-term our work is focused on developing our investment shelf in three areas. First, we’re strong advocates for active investing but it might surprise some to know that today we already have around 20% of our FUM in passive and systematic strategies. We see an opportunity to further develop our long-term proposition, in particular developing more variants of packaged multi-asset solutions at different pricing points and risk levels. Second, we already have a private asset offering for the retail market, and we think there is scope to provide a deeper alternatives proposition. This would be particularly attractive for high-net worth clients and it is a market where we expect the opportunities to continue to evolve. Third, we recognize that an integrated and accessible cash proposition is an important offering for all client types, and it is therefore an area we will be doing more work on in the future. Whilst on the face of it, these changes are more of an evolution to what we do today, we believe offering clients’ greater choice will support our future success. Next, we plan to develop our digital channels further, investing so we can introduce new functionality to our mobile app as well as enhanced desktop and tablet capabilities. This will give clients greater flexibility in how they engage with their financial planning. We also plan to harness data to develop user insights, which will enable us to deliver a more personalized experience for clients over time, helping us to support them. We are a business with nearly one million clients. We serve and support clients with relatively simple needs through to those with complex financial affairs and very significant investable wealth. To deliver value for such a range of clients, it’s important we invest in better tailoring our service and proposition across our client segments. We will continue to deliver for the mass affluent segment, but we know that the high net worth market is expected to be one of the fastest growing segments. We therefore see the opportunity to develop a more focused and dedicated high net worth proposition. We will not only enhance the service we provide for our current clients in this space, but we will also equip ourselves to capture share in this growth market. I’ve already spoken about developing elements of our investment proposition, including our alternate asset capability. Offering services to high net worth clients also means providing training and support so that more advisers are able to provide the often more complex financial advice these clients need, and developing the range of ancillary services they can access. We aim to grow our funds under management over time, and investing to capitalize on this growth segment will support our ambitions. In addition to our work in the high net worth space, we will ensure that we continue to add value to the small minority of our clients who have opted out of receiving ongoing advice. By delivering a differentiated client proposition, which is tailored to our clients’ needs, we will be better positioned to deliver great outcomes for them. This will underpin growth and retention of client investments, helping us scale further in the decades to come. Our third pillar is about ensuring SJP remains the best place to be a financial adviser in the UK. I said earlier that it is our advisers who can change clients’ lives, and we’re proud to have more advisers than anyone else in the UK. Scale is important, but so too is quality, and we’re equally proud that we have more advisers with Chartered status than anyone else across our financial planning profession. This combination of scale and quality means our positive impact is considerable. In much the same ways that we should always develop and enhance our proposition for clients, as the home of financial advice we must also do this for our advisers and continue to set the standard. Firstly, we will continuously challenge ourselves on how we can improve our market-leading Academy program. We’ve been running our Academy program for over 10 years now, and it’s something we’re really proud of. Over the last 10 years our Academy has evolved in terms of both scale and delivery. Given the decline in the number of qualified financial advisers in the UK over the last three decades, it’s imperative that our Academy delivers a pipeline of quality advisers. We facilitate the recruitment of those coming out of the Academy into the Partnership, ensuring that partner businesses seeking to grow, and those seeking a succession plan, are provided with high quality, productive advisers. This is a key strand of our support for the Partnership. As such, we plan to continually upgrade our Academy to ensure it continues to focus on delivering high quality, productive advisers to the Partnership, and equips them with everything they need for successful careers. Secondly, one of our key differentiating factors in our adviser proposition is our market leading Business Sale and Purchase scheme, which plays a key role in supporting partner succession planning and continuity of client servicing. This is critical to driving the outstanding client retention rates we continue to achieve, so it’s important that we maintain the effectiveness of this scheme as the Partnership continues to evolve in the future. As the Partnership continues to evolve so must our broader support model, which is our third initial priority area. There is no such thing as a typical partner business today. It comprises businesses very large, very small, those in their infancy and those who have been here for two or three decades, and from all areas of the UK. Their needs are not uniform. They are diverse. That means we should be more deliberate in how we support each of them, targeting what they need to thrive. This may be training or ongoing qualifications; technology tools to help manage client engagements; specialist technical support; or consulting services, support to help partners go from running good businesses to great businesses. Doing all of this will facilitate partners to run more scalable and efficient businesses that support growing numbers of clients, increased productivity, and higher funds under management. Going forward, our focus will be on the quality and productivity of the Partnership. Maintaining the quality of the Partnership is key to developing long-term, trusted relationships with clients, which in turn drives great client outcomes. We also have an ambition to drive long-term improvements in productivity, which will help us achieve our growth ambitions. The final pillar of our strategy is that we must become a more performance-focused organization, with a culture of delivering the very best outcomes for all our stakeholders. So, our immediate priorities are to embed high performance into our culture, by empowering our people and driving clear accountability through a new leadership framework and suite of values; maintaining a disciplined approach to capital allocation; and optimizing our cost base, delivering a more efficient operating model that supports our strategy and will free up significant capacity to invest in the initiatives I have set out across our four pillars. So, looking at this final priority in more detail, we recognize there is opportunity for us to become a more efficient organization. So, having looked across our addressable cost base of some £670 million, we have identified a broad range of potential future savings as we align to our redefined purpose and refreshed strategy. We will, therefore, undertake a cost and efficiency program focused on five key areas: we will improve our demand management, eliminating avoidable spend; we will redesign our operating model to better support our refreshed strategic focus, we will optimize our procurement, consolidating vendors and securing best terms; we will simplify our technology estate; and we will innovate to develop greater levels of automation in our routine activities and processes. Now, we have an ambition to reduce our addressable cost base by about £100 million per annum before tax, which is equivalent to approximately 15%. We will have completed the work to achieve these cost savings by the end of 2026, with one-off costs to achieve of approximately £80 million. This means that up to 2030, we estimate cumulative savings, net of costs to achieve, of approaching £500 million. In creating this significant capacity, we have the opportunity to fund investment in a disciplined manner. This investment will enable us to deliver on our strategic initiatives, further underpin our long-term growth ambitions, and improve the cash result. We expect to invest a total of around £250 million through to 2030, or around half the capacity we will create over this period. Our initial business priority is to strengthen the business, but as we move towards our Amplify phase and our costs savings emerge, we’ll use these savings to increase the scale of our investment. Our priorities at this stage will be on enhancing our technology and data capabilities, the client proposition and broadening the investment shelf, all of which I’ve spoken about already this morning. These will support our operational performance, adviser productivity growth and further enhance our client offering. So we’ve included in the appendix a simple illustrative modeling guide that sets out how you might expect to see the impact of these cost savings and investments as they emerge over time. But for now, I want to walk you through the net effect of all of this. This slide shows that the overall impact, which includes all expected costs to achieve, will be broadly neutral to the cost base through to the end of 2026, with the costs to achieve and reinvestment approximately equal to the net savings over this period. After this, the programs will have a net positive impact that builds up to full ongoing savings of £70 million per annum by 2029. The savings set out on the slide will improve our underlying cash result and create significant value over time, though for modeling purposes you will of course need to net them down for tax. That’s how we expect our cost base to evolve in the medium term, but it’s also important to consider how we see the utilization of our capital resources going forwards. Our first priority will always be the safety of client investments, which we ensure by meeting all regulatory solvency, working capital and liquidity requirements and maintaining an investment grade credit rating. These requirements grow as the business grows. After this, we will invest in the core capabilities of the business, including ensuring we maintain and evolve our technology systems, build our digital capabilities and invest the capital necessary to support our partner succession proposition. Next, we will provide reliable returns to shareholders. We will return 50% of underlying cash without impacting our ability to invest in the business. Finally, we will consider returning excess capital to shareholders. We don’t anticipate additional returns in the immediate future as we complete the ongoing programs of work and invest in the priorities described in our strategy. However, in the medium term, we will consider returning additional capital over and above our requirements to invest in the business at attractive returns. I see being deliberate and disciplined in how we manage capital allocation as critical to ensuring we have a well invested business that drives returns and creates sustained value for our shareholders. So to summarize, we have a redefined purpose and a refreshed strategy. This will see us embrace change, drive growth, simplify and standardize, exercise discipline around costs, and focus on accountability and execution. In doing all of this, the future for SJP will be very exciting. So what will success look like? We will continue to be the best place to be a financial adviser in the UK, with leading advocacy across our Partnership. SJP colleagues will feel empowered and engaged through our high-performance culture, advocating our purpose. We will be a business with a growing base of clients investing and staying with us for the long-term. As we continue to attract new business, maintain high levels of client retention and deliver for clients through our IMA, I see us delivering mid-to-high single digit annual growth in funds under management over time. While near-term profit growth will reflect the structural impact of transitioning to our simplified charging structure as we announced last October, we expect to see the cash result accelerate in 2027 and beyond, doubling between 2023 and 2030. Importantly, much of this rapid growth is highly predictable because of those changes that we are making to our charges. So, coming back to what underpins all of this, I joined SJP because I believed in the value of what SJP delivers for its clients. And while there’s a lot to do, my belief has only grown stronger, and I look forward to an exciting and successful future for SJP. We are the home of invaluable advice. We exist to empower clients with invaluable advice to realize bolder ambitions. I want SJP to be admired as a business with the hallmarks of trust, excellence, high performance, and the constant pursuit of improvement. Thank you for listening and do please stay tuned in to this webcast for our live Q&A which will kick off shortly. [Video Presentation]
Mark FitzPatrick: Good morning, and thank you for joining us today. It's Mark Fitzpatrick here. Before we open up for questions, I wanted to reiterate three key takeaways from our half-year results announcement and the presentation you have just seen. Firstly, our business is performing well. We have delivered robust business performance and strong financial performance during the first half of 2024, demonstrating the continued resilience of our business model despite the challenges I set out earlier in the year. We have seen high levels of activity and engagement between our advisers and our clients contributing to positive flows. We have achieved record funds under management, delivered a good out-turn for the cash result and grown the client base, so we remain in good shape. Secondly, we are positioning for further success in an exciting market with structural growth drivers and rising demand for advice. We have a redefined purpose and a refreshed strategy, which will see us embrace change, drive growth, simplify and standardize, and exercise discipline around costs. As we continue to attract new business, maintain high levels of client retention and deliver for clients through our investment management approach, I am confident that we will be able to deliver mid-to-high single digit annual growth in funds under management over time and double the underlying cash result from 2023 to 2030. Thirdly, we expect to deliver on our ambitions. We will increase strategic investment in the business, which will be funded through optimizing our cost base. Our ambition is to save approaching £500 million through to 2030 net of the costs to achieve. We plan to reinvest approximately half of these savings once they have been realized to drive future growth. Our priorities for investment will be enhancing our technology and data capabilities, expanding our client proposition and broadening our investment shelf. These will support our operational performance, adviser productivity growth, and further enhance our client offering. All of this means I'm really excited for our future and my conviction in SJP is strong and we have a fantastic opportunity ahead. We'll open up now for questions. So over to the operator, please.
Operator: Thank you. [Operator Instructions] Our first question today comes from Enrico Bolzoni from JP Morgan. Enrico, your line is open. Please go ahead.
Enrico Bolzoni: Yes, thank you and good morning. Thanks for taking my questions. So one question on the very exciting plan of doubling underlying cash results, just wanted to understand the thinking behind. So if I simplistically look at where consensus is existing for underlying cash results for let's say 2028, I had a net of tax, the £70 million cost benefit that you plan to achieve. Still I would need to imply above 20% CAGAR in underlying cash results in 2029 and 2030. So we're just keen to understand if you can give some color or whether what is going to drive this last acceleration or contrary to that, if maybe you think that consensus into 2028 is a bit soft. So there's going to be some benefit before that. So that's my first question. And the second question is on what you mentioned with respect to the high net worth segment, which sounds interesting. Can you just give us some color in terms of how quickly you think you can maybe expand your market share there? What are the specific initiative you can roll out to achieve that? And will this be achieved via Rowan Dartington or it would be as part of the main business? Thanks.
Mark FitzPatrick : Enrico, thank you. Let me start with the second question, the high net worth and then I'll ask Craig to chat about the consensus and the shape of that. So in terms of the high net worth, at the moment, we have as you would have seen from the slides about 9% of our firm is in the high net worth part of segment of the market and the market has about, I think about 14% in the high net worth space. So we think there's an interesting opportunity to go for. We also believe that the high net worth segment is going to grow slightly faster than the affluent and the mass affluent parts of the market. So that also makes it attractive. And I think what we're going to look to do is over the course of the Amplifier phase of the strategy, which is really when we're going to be focusing on the real kind of growth accelerators, we see high net worth being a key component of this. We think as we extend our investment proposition that will help. I think as we support more of our advisers to be confident and comfortable engaging in this part of the market, we have some partners and advisers who are phenomenally successful and phenomenally good at supporting clients in this space. Clients in this space tend to have slightly more complex needs and therefore ensuring that we are able to support both the partner and adviser and clients in this space is going to be an important component of it as well, as well as giving enhanced access to some of our specialist teams, both the adviser teams, but also some of the investment teams as well. So we think it's an exciting opportunity ahead of us, but I don't think you should expect to see anything happening significantly over the course of the next couple of years in that space. Craig, on the first part?
Craig Gentle : Yeah, I think the other factor that you might need to take into account here is, what I would describe as the structural recovery that we see in underlying cash that really starts in ’27 onwards. And that's a reflection of the fact that in the years building up to that, so middle of next year, say, and ’26, the cash result sees the removal of the initial charges. And by ’27 onwards, you begin to see those two feeders into what we currently call mature funds under management. So you get the benefits of new business coming in, but you also get the benefits of the unwind of those amounts that sit in gestation. So I think the easiest way for me to answer the question, Enrico, is that consensus is always an average. And I think the output of any consensus will always depend on the modeling approach that's taken in those latter years.
Enrico Bolzoni: Thank you.
Mark FitzPatrick : Thank you.
Operator: Next question comes from Andrew Crean from Autonomous. Andrew, your line is open. Please go ahead.
Andrew Crean: Good morning, all. I had three questions. Firstly, could you talk a bit about the adviser numbers? I see they're relatively flat in the six months. What is your medium term gross ambition on adviser numbers? Secondly, partner lending, is there a plan to take all partner lending off balance sheet? And then thirdly, there's very little mention by you of Asia or DFM. And certainly DFM is in loss, it's supposed to be breaking even this year. Could you talk about whether you think SJP is still the best owner of those two businesses?
Mark FitzPatrick : Andrew, thank you for your three questions. So let me start on the adviser numbers and then I'll hand over to Craig for the partner lending and then I'll come back around to the Asia, DFM question. So in terms of adviser numbers, I think we continue to be confident effectively in our Partnership and in the growth of our Partnership. I think what we're going to look to do is to really focus on driving productivity and supporting our partners in their quest to make sure that they are the top end of the quality that we see in the marketplace. We continue to see good pipeline in our Academy. The Academy continues to increase the number of advisers. The training that they get is very, very strong. Indeed, over the last five years, we've trained around half of the new advisers in the industry through the Academy. So the Academy will continue to be an important component. We do expect adviser numbers over time to continue to grow. It's not the key statistic that I'm focusing on. I think our focus is on better utilizing the power of the largest group of advisers in the UK market by driving higher productivity and really enhancing the quality. That's why one of the areas we're looking to invest in going forward, Andrew, is around how we improve the partner experience, how we improve the client experience through enhancing some of our technology. Our core technology stack is sound. As I mentioned earlier on today, the Bluedoor and Salesforce systems are sound, see no need to change those. It's around the adjacencies that I think there's a lot that we can do to provide and make that whole process far more straight through and enable our partners and advisers to spend more time in front of their clients, which is where they're at their best rather than tied up in a whole lot of admin-related matters. Craig, do you want to mention the partner lending piece, please?
Craig Gentle : Yeah, hi, Andrew. The question was whether we could see a situation where it's all off-balance sheet. And I don't think I can see that situation, but I can see a situation where more of it is off-balance sheet. And if I think about the way this has developed over the years, it started very much as balance sheet activity. We then moved into what we call direct partner lending, which makes use of other organizations' balance sheets, but involving guarantees. More recently, we moved towards securitization, and you used the expression off-balance sheet, I think that's one way of looking at the objective, but the other way of thinking about the objective is non-recourse. And that's where securitizations can really work because although from an accounting perspective, you're required to keep the loans on the balance sheet, they are actually non-recourse other than any junior notes. And then you'd have seen back in 2023, we did a material outright sale, and that sort of describes the life cycle of partner lending within SJP. And I think that the corporate balance sheet, whether it's on the balance sheet itself or within the securitization, will always have a role to play in the origination of lending and the seasoning of lending before it moves into securitizations ready for outright sale. So I think the answer to your question, put simply, is no, I can't see it all being off-balance sheets, but I think the objective that we've set for ourselves quite rightly is to get as much of it as is realistic off the balance sheet whilst remaining in full control of what is actually a really important part of our group operations.
Mark FitzPatrick : Craig, thank you. And then finally, Andrew, on the Asia and DFM piece, candidly, the business review really focused on the UK, which is kind of [thickly] 97% of our business. I know the team have done a lot to improve performance in Asia and in RD over the course of the last few years. And I think RD is still expected to hit break-even in the second half of this year. So, they're both great businesses and we're going to stay focusing on improving performance and reducing the net investment.
Andrew Crean: Thank you.
Mark FitzPatrick : Thank you.
Craig Gentle : Thank you.
Operator: This question comes from David McCann from Deutsche Numis. David, your line is open, please go ahead.
David McCann: Yeah, morning, everyone. There are three questions for me as well, please. So, first one, you talked about in the presentation about improving relationship with the regulator. So, I think, can we deduce from this that it's now highly unlikely that you'd have to make any further changes to the charging model over and above those you've already announced? Or would that be a premature thing to think about? Second question is, what gave the board the confidence to effectively bring forward the share buyback compared to what I think most people are expecting given the multiple challenges and uncertainties you do still have in the business, obviously ongoing advice and the implementation being in just two of them. And then the third question, just a more technical one. You talked about a high single-digit growth rate in fund under management. Can you confirm, are you talking in pounds or percentage? Thank you.
Mark FitzPatrick : Okay, David, hi, good morning to you. Firstly, of the regulatory relationships, I think, actually, I asked the regulator before these calls in terms of what could I say if the question came up. And the view from the regulator was, look, you can say that the relationship has improved, the relationship is getting stronger. It is a robust conversation, but it's very open and a very, very transparent conversation. I think that's by and large what a regulator asks of any of the organizations that they regulate and what we ask of our regulator. So we're having a very frank, very open conversations with them. They know where we are and all the different components. I'm not expecting there to be any real changes to the work around the fee structures, going forward. We've done the, or doing the heavy lifting, preparing for all the changes that we announced back, or that Craig and the team announced back end of last year. So that's a key focus, and we're spending lots of time, lots of energy, ensuring that we can launch that successfully. In terms of the buyback, Craig?
Craig Gentle : Probably four things I'd cite, David. I'm sure there are others, but the operating environment is something we take into account. The rhythm of emergence of value in the cash result that you can see in the numbers that we've published today. You talk about the uncertainties, the fees and charges changes, and that overarching project is making really good progress. And on the subject of the provision, there's nothing that's happened that undermines our confidence that the level of provision that we set was adequate and appropriate. So taking all of those into account, the decision was made.
Mark FitzPatrick : Yeah, thank you. And then your last question is, it's in terms of the mid-to-high single digit, that's a percentage growth that we're looking at David.
David McCann: Great, thank you very much.
Mark FitzPatrick : Thanks.
Operator: The next question comes from Larissa van Deventer from Barclays. Larissa, your line is open. Please go ahead.
Larissa van Deventer: Thank you, good morning, and congratulations on very strong flow numbers. And two quick ones from my side. The first one, in the implementation of the cost cutting as well as the investment in new initiatives, what do you consider the biggest hurdle to be? And then related to that you mentioned simplification and automation of processes, could you give us an indication of which areas you plan to focus on first, please?
Mark FitzPatrick : Larissa, firstly, thank you for that opening. In terms of the biggest hurdle around the element of the cost reduction, I think the biggest area there is ensuring in terms of doing it, we do it in a very controlled, very measured way, brings everybody along the journey and that we don't inhibit our growth opportunity and potential we see ahead of us. We will be protecting the efforts and energies around the work that we're doing in terms of the fee restructuring to make sure that continues at pace. And in terms of the investment piece, again, it's going to be a laser-like focus in terms of where we prioritize, where we ensure that we're going to get best bang for buck and very careful monitoring of benefits and benefit tracking as we go through investment spend over the coming years. For simplification and automation, key thing for me is in terms of the interface that our advisers and their teams have with us, trying to automate that process as much as possible. I was with some of our guys earlier on this week looking at some of the AI tools that we've been rolling out around our advice assistance. At the moment, we have multiple ways of doing things, multiple ways that people can submit new business. And I think it's easier for clients, it's easier in the long-term for our advisers and their teams and it's much easier for our admin processing systems if we have one way of doing things and a simpler way of doing things. So that becomes straight through, it becomes automated and things happen once and we minimize the amount of human interaction through the admin process and we maximize the human interaction in front of clients on the financial planning stage. But thank you for those questions, Larissa.
Larissa van Deventer: Thank you.
Operator: The next question comes from Greg Simpson from BNP Paribas. Greg, your line is open, please go ahead.
Greg Simpson: Hi, yeah, morning, and three from my end. Firstly, could you talk a bit about the cadence of complaints in this period? I know last year we saw the spike. How has that kind of evolved this year in terms of the experience of incoming and the claims firms particularly, that’d great? Second question would be, could you talk a bit about the impact of the loans on movements between the partnerships? How much of it is an obstacle for advisers in the Academy joining the partnership? The fact that taking out a loan now is quite expensive and a bit of color on how that's kind of flowing through. And thirdly, if I go for the latest disclosure around the cash emergence from gestation, if I compare the illustrative figure versus the stock of gestation, I get a 60 basis points margin, the same number at the full year stage was 57 basis points. So just want to check if there's any kind of moving parts there? Is 60 basis points still a good figure for the illustrative emergence of cash and gestation? Thank you.
Mark FitzPatrick: Perfect, Greg, thank you. I'll start with the talking about your first question and then I'll hand over to Craig to deal with the loans and the cash emergence figure. So on the complaints element, unsurprisingly, you would have seen, or we saw a spike in March after the announcement in terms of levels of complaints. Pleased to say that we've seen a dramatic fall off in those level of complaints over the course of the second quarter and into the beginning of the third quarter. So the level of complaints has come down dramatically and significantly. Craig, are you okay on the loans and --?
Craig Gentle : Yeah, I suppose I'd split that into two. Let's think of it in terms of somebody who's already completed a transaction and somebody who may be minded at some point in the future to complete a transaction. As I said in my presentation, I think interest rates going up is always unwelcome for any business that borrows. That's very, very clear, but it's also important having identified that as a headwind to try and identify where the tailwinds are. They may not fully compensate, but the fact that the markets have performed in the way that they have is obviously positive for clients, but it's positive for advisers because that influences the cash flows that they receive. And so I think that the net position for somebody who has already borrowed will obviously differ business by business, but it is important to remember both sides of that equation. And that's very much reflected in the structure of the borrowing. For somebody contemplating a future transaction, I think it's always the case that there always has to be a point where supply meets demand. So values will always vary. And that could push a value up or down depending on what the perception of the operating environment is. But it's also important to remember that somebody taking out one of these loans will have a view of what the long-term rate is and what the long-term return from the business they're acquiring is. So it's perhaps not as binary, but I think I'd go back to what I've said, that for any business that uses borrowing as a mechanism, I think it would be unwise for me to say anything other than high rates are generally, even on a net basis, unwelcome. But it doesn't wet the appetite of individuals who see a long-term career in the financial advice industry.
Mark FitzPatrick: So just if I can add to that, Craig? Approximately 80% of our folks that graduate from the Academy tend to move into existing partnerships, existing businesses. So it's not like they have to kind of check on day one. They're coming in to support partners and established advisers along the way and 20% might set up their own businesses and for them, they may wish to buy in or they may wish to build up. But we effectively ensure before we let advisers loose into the big world, they're given a lot of support, a lot of encouragement and a lot of oversight from our field team. So by the time they kind of go it alone, as it were, they have an established footprint, they have an established business of which to be able to build. Right, Craig, onto gestation?
Craig Gentle : And I think the final question was on gestation. So in short, yes, it's a good number. You do find that periodically there are refinements to the forward modeling for the impact that gestation will have as it unfolds into the cash result, but you should be using those figures.
Greg Simpson: Helpful, thank you.
Mark FitzPatrick: Thank you.
Operator: The next question comes from Ben Bathurst from RBC. Ben, your line is open. Please go ahead.
Ben Bathurst: Good morning. I've got questions in three areas as well, if I may. I'll start with one on the advice, evidence and provision. Craig, in your comments, I think you referenced the potential for some form of recovery for the Partnership, or say, from the partnership for the group. Can you elaborate on the circumstances when you think the group will be eligible for recovery for these issues from partners responsible and would you expect all responsible partners to make some form of contribution to a recovery? And secondly, in light of speculation around the potential for changes to pension tax relief, I wonder, could you update us on the proportion of gross inflows into SJP pensions that comes from transfers of DC pots that are effectively already invested rather than fresh cash? And then finally, on the FUM and cash growth targets, I may have missed this, can you just confirm what the market return assumption is that's underlying those targets now this morning? Thank you.
Mark FitzPatrick: Okay. Ben, thank you for those questions, I'll try and deal with item one and three. And then while I'm doing that, hopefully the answer to question two can come up. In terms of the ongoing evidencing component versus historic evidencing component, the element of the -- we have spoken to the partners. I think they are supportive of direction of travel that we are undertaking. I think they recognize that this is a broader issue and is unlikely to be idiosyncratic to SJP. We have agreed with the Partnership that they will make a contribution dependent upon the underlying evidence. So if there are some partners that kind of, records are missing or just not available, then those gaps will be more pronounced and therefore they will make a larger contribution. And for those where the evidence is intact and able to be demonstrated, then they would not make any contribution. So it's going to be very much based on the overall evidence. And then in terms of the market return assumptions for the funds, I think we're looking at somewhere in our estimation going forward of a kind of 4% to 5% element of return on that side going. And then the pension’s tax fees?
Craig Gentle : Yeah, I think the question was around transfers. It's not something we disclose, but I think for the purpose of this conversation, you should assume that the majority of our pensions inflows are transfer related.
Ben Bathurst: Okay, great. Very helpful.
Mark FitzPatrick: Thanks, Ben.
Operator: [Operator Instructions] The next question comes from Steven Haywood from HSBC. Steven, your line is open. Please go ahead.
Steven Haywood: Good morning. Thank you. A couple of follow-ups and a couple of questions, if you don't mind. You just highlighted the 4% to 5% market investment return. Can you tell us whether that's can you tell us whether that's before or after the annual charges that are taken on funds? And also on the complaints question earlier, can you just repeat what you said about the trend in complaints currently? And then one question on the growth in costs going forwards. It's always been an underlying growth level around 5% per annum. Is this going to continue at this level or should we assume a different underlying level before we take into consideration the cost savings? Because I think if you look at the sort of £30 million per annum in 2027, £50 million in 2028, etc. at that run rate, I think if you assume an underlying 5% growth in costs, then the cost savings in 2027 and beyond keep the total cost base roughly flat. So if you can give us an update on the underlying growth in cost base, that'd be helpful.
Mark FitzPatrick: Steven, thank you for that. So I think in terms of the market return, that is after the various fees and the like. So that's a net component. Secondly, in terms of complaints, what I had mentioned was that complaint levels in March were particularly high, unexpectedly, or rather expectedly so given the announcements that we had made at the end of February. So we saw a significant uptick in March, and we have seen in the balance of the second quarter, the level of complaints come down significantly and they continue to come down during the course of July, effectively, so far. So that's a trend that we are seeing. And as for growth in costs, I think you should expect to see underlying kind of overall costs level increasing by and large in line with what we've done in the past. I don't think we're expecting anything heroic over and above what we've done in the past. But it's, I think, a discipline and a mindset that we have in terms of cost management, but also our overall focus, as you would have seen from today's announcements, is our commitment and our focus in terms of doubling the underlying cash position by 2030. And therefore, that will be what we will be focusing on.
Steven Haywood: Okay, thank you very much.
Mark FitzPatrick: Yeah.
Operator: Next question is from Nasib Ahmed from UBS. Nasib, your line is open. Please go ahead.
Nasib Ahmed : Thanks, morning. Thanks for taking my question. So, firstly, on shareholder returns and cash. You, of course, reduced the payout ratio to 50% by 2026. Should we expect it to go back to 70% by 2026? And I'm thinking about the bridging loan facility of £250 million that's maturing in ’26. Presumably, you want to build up some cash to pay that down, and once that's done, the payout can go up. Is that thinking correct? And then just related to that, how much distributable cash do you have at the moment? I know you've got a liquidity number that you disclosed, but it seems like the actual accessible cash is much lower. So that's question number one. Second question on the Flagstone balance. I think last time you disclosed it, it was around £4 billion. How has that moved? And what is the thinking around your cash proposition, and when do you think you will have it implemented? And then finally, on the FCA Advice Guidance Boundary Review, what are your thoughts on that? What's your preferred option? I think a lot of the insurers are excited about it, that they can retain a lot more business, and what is the potential impact for your business from that? Thank you.
Mark FitzPatrick: Okay, Nasib, there are quite a few questions in there. If we've missed any, please come back around and sweep up. We'll try our best to have caught them all. Firstly, in terms of shareholder return and cash, at this stage, we're not making any commitment to what may or may not happen. Effectively, a decision point for the board will be February 2028, off the back of the 2027 results. So we're not going to front run what the board may or may not decide at that stage. But you should plan in for now the ongoing element of the 50% payout. On the loan facility and on the distributable cash?
Craig Gentle : I think on that loan facility that we disclosed for the year-end, we should regard that as being a safety layer that we've introduced. It's a decision we made at that time, and it's still there, as you can see in the accounts. I don't see that as something that influences available cash one way or another. So it's there to serve a very specific purpose. And then the whole point about accessible cash, it's really dependent on timing, because at any given time, there's a lot of cash emerging within the business, but it doesn't become accessible until you see an intergroup dividend. And because a lot of our income comes from the UK life company, that dividend is paid once a year. So it becomes accessible at the point at which you want it to become accessible, which is immediately prior to the payments of a group dividend.
Mark FitzPatrick: Thank you. And then in terms of the Flagstone balance, the Flagstone balance has increased to, at the end of June, £4.3 billion. So I think it was £3.9 billion at the full year, so it's £4.3 billion, so it has gone up. As regards the exact timing of when we will have a kind of a cash-type facility, again, that's something that we'll really be focusing on as we get into the Amplify stage. So we will do preliminary work now, but as soon as there's something meaningful to discuss, I will look to update the market. And then I think, Nasib, your final question was around the advice guidance boundary. We continue to work very closely with the FCA and with government, with Treasury on that, the different aspects of that. Let's see where that goes. I'm conscious that government has a lot of issues and a lot of things it needs to grapple with on this plate, as we heard from the Chancellor yesterday. So we will continue to provide input into that, but it's too early to tell where that's going to go at the moment, and ultimately what primary or secondary legislation may be required in order to enact anything that they may ultimately come out with. But we're actively engaged. We need to wait to see where the, you know, what smoke comes out of the chapel in due course. Nasib, thank you for those questions. Oh, sorry.
Nasib Ahmed : Can I just follow up on one clarification on Craig's response on the cash balance? So I understand the remittance is coming up from the life co, but how much cash do you have in the life co that you could remit up over time as of 1H’24? I know the solvency is really strong, but how much is actually distributable out of the life co?
Craig Gentle : The way you should think about it is that the cash available at the point at which we require it to be available will be equivalent to the amount that we're able to distribute under IFRS, because IFRS coupled with liquidity, of course, tends to be the main factor within the life company for that. So, the number today isn't really a relevant figure if it's the way we see profits emerging in the life company available for distribution in late February ’25.
Nasib Ahmed : Okay, I understand. Thank you.
Operator: I'll now hand the call back to Mark Fitzpatrick for some concluding remarks.
Mark FitzPatrick: Thank you very much, everyone, for your questions and engagement. To conclude from my side, my conviction in SJP is strong, and we have a fantastic opportunity ahead. The business is performing well, it's continuing the resilience of our business model and the value of our clients place on the trusted relationship they have with their adviser. We're positioning for further success with a refined purpose and refresh strategy. We will invest in the business to drive future growth, which will be fully funded by optimizing our cost base. This will help us achieve our ambition to deliver the mid-to-high single digit annual growth in funds under management and doubling the underlying cash result from 2023 to 2030. I look forward to talking to many of you over the coming days. Thank you for engaging, and thank you for your continued support. Goodbye.